Operator: Welcome to the Hertz Global Holdings' Fourth Quarter and Full Year 2016 Earnings Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. I would like to remind you that today's call is being recorded by the company. I would now like to turn the call over to our host, Leslie Hunziker. Please go ahead.
Leslie Tolan Hunziker - Hertz Global Holdings, Inc.: Good morning, everyone. By now, you should all have our press release and associated financial information. We've also provided slides to accompany our conference call that can be accessed on our website. I want to remind you that certain statements made on this call contain forward-looking information within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of performance and by their nature are subject to inherent uncertainties. Actual results may differ materially. Any forward-looking information relayed on this call speaks only as of this date, and the company undertakes no obligation to update the information to reflect changed circumstances. Additional information concerning these statements is contained in our earnings press release issued last night and in the risk factors and forward-looking statements section of our third quarter 2016 Form 10-Q. Copies of this filing are available from the SEC and on the Hertz website. Today, we'll use certain non-GAAP financial measures, all of which are reconciled with GAAP numbers in our press release and related Form 8-K, which are posted on our website. We believe that our profitability and performance is better demonstrated using these non-GAAP metrics. Our call today focuses on Hertz Global Holdings, Incorporated, a publicly-traded company. Results for the Hertz Corporation are materially the same as Hertz Global Holdings. On the call this morning, we have Kathy Marinello, Hertz's CEO and Tom Kennedy, our CFO. Now, I'll turn the call over to Kathy.
Kathryn V. Marinello - Hertz Global Holdings, Inc.: Thank you, Leslie and good morning everyone. Before we begin, let me say that I'm privileged to have been chosen to lead Hertz. Not many have given the opportunity to come to a multinational company with an iconic brand and a rich history of industry leadership to help shape its future, it's an honor. Having done my due diligence, I'm aware that there are self inflicted issues here and I'm already working to address those. But there's nothing I see that we can't overcome, especially when you consider the foundational strength of the company. Since joining Hertz just two months ago, I've had the opportunity to meet many of our employees both in the field and in our headquarters whom I found to be positive, engaged and very proud to work for Hertz. In my initial meetings with corporate customers, it was clear that the Hertz brand carries a lot of equity still today. And having been on the General Motors' board for nine years since 2007, I know that Hertz's business partners respect and admire this company. Great people, great brands and great relationships across the supply chain on extremely valuable starting point from which to grow. When I first arrived, validating my understanding of the key drivers of this business was most important. Now working to prioritize the initiative that supports those drivers is right on focus and it's critical. It's probably not a surprise that the domestic operations will get the lion's share of my attention in the near term. The international business and Donlen have been successful and staying focused and competitive, while the U.S. Rental Car operations has had to regroup. Stateside, we're going to be taking a back-to-basics approach to generate revenue growth. And while you're probably thinking you heard this before that's because it's a core strategy in any turnaround situation and it's always easier said than done. But I believe with my automotive and operating experience and leadership skills, we can get it done here. With that in mind, I've already streamlined my reporting structure to facilitate more direct interaction with managers, fast-track decision making and quickly adjust direction if necessary. We now have a cross-functional team in place in U.S. made up of fleet, operations, pricing, sales and marketing leaders that will report directly to me. Bringing these functions together to effectively execute is paramount and ensures we're all working on the same agreed upon objectives and that we hold ourselves and our teams accountable. We're focused principally on four areas for growth: fleet, service, marketing and technology. As I told our employees, our mission is to be the preferred global rental car company driven by people who care and who deliver the cars our customers want. If we can get service and product quality and availability right, revenue will quickly follow, and technology that increases capabilities and is highly adaptable supports that initiative. Furthermore, getting clean and service rides and utilizing faster, more-intuitive technology will boost efficiency and productivity, thereby growing our cars. So we're going to have to invest to grow, I'm not prepared to quantify the level of investment we plan to make this year because candidly it's too early in my tenure to know with certainty. We have a plan in place, but along the way we may need to bolster it to accomplish our goals faster. Here's what we're working towards. Our overarching goal is to win preferential customer satisfaction. Let me start with fleet. We've been spending time evaluating our fleet mix both from a car-class and a quality standpoint. In terms of car-class, we expect to have the fleet better balanced between compact, mid and large vehicle ahead of the third quarter peak. At the same time, we're continuing to upgrade the fleet while we're using the uncommitted model year 2017 capacity. We're also going to enhance our focus on improving the efficiency of how we buy and sell cars. I believe I have got the competency in fleet over my career, starting at GE where I've managed what was at the time the world's largest corporate fleet business, as CEO of their leasing and financing division. And I learned an amazing amount about manufacturing and selling cars from the inside of a major automaker. So, I know there's upside in Hertz's ability to offer a better price to our customers while also managing the bottom line better. Another way we'll drive satisfaction is by giving customers the best flexible cost as they demand to ensure they get the exact cars they want. To do that, we're rolling out our new Hertz Ultimate Choice platform across the country. Ultimate Choice redefines the Hertz rental experience by allowing customers to choose their preferred vehicle on-site with no wait. This program supports not only customer satisfaction but should also improve utilization and lead to process improvements in fleet management. By mid-year, we expect to have Ultimate Choice operational at the top 30 U.S. airports. And by year-end, the program will be available at all major airport locations nationally. But having the right cars easily accessible is only part of our back-to-basics plan. We're making greater investments in recruiting and training our employees and we're rolling out a new incentive program that rewards best-in-class service delivery that shows our customers we care. The way you generate growth is by delivering on the brand promise. These are the things that influence customer preference. It's our immediate priority because not only will it drive demand to Hertz, but it will result in repeat business that supports consistent and predictable financial performance. In my 10 years at GE, I've learned from some of the most brilliant operators, how to run a service company for real NPS improvement. A big part of that is getting out and meeting with your customers and employees and learning in real time what's working and what's not. Towards that end, I've already been on the road several times and I plan to make it a regular practice. Corporate and digital marketing will be another area of investment this year. We've been under-invested on this front for quite a while. Last year, the team worked hard on preparations for repositioning the Dollar Thrifty brands and improving our search engine positioning. This year we plan to transform our digital assets. This investment will dramatically improve our website and app experiences, allow us to transform interactions with our customers, and provide a platform from which to bring technological advancements to our customers across their rental experience in the coming years. Strategic marketing is clearly a key element to our revenue growth. Finally, we're going to continue with our planned investments in technology. I recognize the importance of this imitative in driving every aspect of optimal performance. My experience running technology enabled programs at Ceridian, and earlier at First Data, cultivated an appreciation for systems and the benefits they deliver. From that length, I can tell you that this is a really big project that we're undertaking at Hertz. I still need some time to better understand how we're prioritizing the initiatives to ensure that our customer facing needs take precedence on their timeline. The bottom line is that the technology transformation remains an important strategic driver for us, and a significant level of investment will be allocated over the next two years. It's clear we have a lot of work ahead, a lot of hard work in front of us, but it's all within our control. We'll be increasing our focus on the four areas I outlined, some initiatives will have a global reach and some will be U.S. focused, as we work to get the domestic operation growing. I point out that as my tenure increases beyond 60 days, there may be other areas where greater attention is warranted. Until I have more experience with the day-to-day operations of the business, and we get some level of consistency in our performance, we're not in a position to provide financial guidance. It wouldn't be credible at this point. My focus is not just about growth next month or three months from now, but it's about driving sustainable incremental growth over a multiyear horizon. I am looking at making investments today that will create long-term value in this company. That doesn't mean we have to wait three years to see progress. The strategic lead in service initiatives are certainly within our control and therefore we can make a more needed impact in those areas to drive customer preference to Hertz. I know that 2016 was a tough year for this company with the fourth quarter being no exception and while 2017 will continue to be a transition year, we expect progress on the fleet and service actions will ramp up steadily. This is a resilient company with great brands and great people, the value of which cannot be discounted. We've got a solid foundation to build on. So now, I'll let Tom walk you through the details of the recent quarterly performance and then I'm happy to take questions.
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Thank you, Kathy, and good morning, everyone. Let me start with a snapshot of our full year 2016 consolidated financial performance. Total currency-adjusted revenue declined 2% last year, primarily due to a 5% weaker pricing in Worldwide Rental Car, partially offset by 2% stronger volumes. Clearly, we struggled with U.S. pricing most of the year, due to a variety of factors including unfavorable customer fleet mixes and the adverse effect of lower fuel prices on ancillary revenue. However, we did see a year-over-year RPD improvement in the U.S. in each sequential quarter. Global cost initiatives yielded $350 million of savings in 2016. Unfortunately, this was not enough to offset the lower Worldwide Rental Car revenue and a 9% increase in Worldwide Rental Car multi-depreciation per unit vehicle cost. The significantly higher cost to program vehicles and declining residual values, especially in the second half of the year, put pressure on vehicle costs. I will talk about some of the actions we are taking to address those unfavorable trends in just a minute. For the full year, we generated $553 million of adjusted corporate EBITDA and $258 million of free cash flow. I would point out that in 2016, the company recorded $340 million of non-cash impairments on a pre-tax basis compared to $70 million in 2015. This primarily resulted from fourth quarter impairments of $172 million on goodwill related to our European vehicle rental operations and $120 million related to the Dollar Thrifty tradename. Also, you may recall that there were some unique events in 2016 that impacted earnings, including a large reserve for insurance cost, primarily related to adverse case development and claims experience in the UK. In addition, we experienced unusually high levels of vehicle recall activity that affected volume and costs, and the terror attacks in Europe have stifled peak season inbound business, which is one of our highest RPD categories. Of course, there can be unique events in any year. These are just some of the unexpected headwinds we experienced in 2016. Despite the disappointing financial performance in 2016, we began investing in the business and made progress on several fronts. Last February, we piloted our first Hertz Ultimate Choice program in Austin, Texas, empowering customers to choose the exact car they want while offering flexibility in options. As Kathy mentioned, we began the broader rollout in October and expect to have 30 airports operational by midyear. We launched our technology transformation initiative with the outsourcing of the legacy operating systems earlier in the year and the introduction of our first updated platform CRM at the end of the year. In addition, we deployed the first of two new revenue management modules in December, which will give us better segmentation of rates and a faster response time to market rate fluctuations. That lays the foundation for the deployment of the second module this quarter, which will give us more accurate demand forecasting with which to better plan fleet. From a product standpoint, we began the process of enhancing our fleet mix in 2016, rebalancing the car-class weighting of the fleet to allow us to be more competitive. We expect our compact mix to be more in line with historical levels in the second quarter. In terms of transactions, in June, we completed the spin-off of our former equipment rental business, which included a successful restructuring of our balance sheet in non-vehicle debt. And in December, we entered into an agreement to sell our operations in Brazil to Localiza, South America's largest rental car company. We expect the transaction will close sometime next quarter. The transaction includes a strategic partnership agreement, involving co-branding in Brazil in key international gateways, customer referrals outsides of Brazil and the exchange of technology and information. From a balance sheet perspective, we strengthened our maturity profile by extending the weighted average life for our vehicle debt from 1.8 years to 2.3 years and our non-vehicle debt from 3.4 years to 5 years. In fact, we have only $8 million of non-vehicle debt maturing this year and $266 million in 2018. Now, let me provide some details on the fourth quarter's impact on the year. Total worldwide revenue was essentially flat year-over-year at $2 billion, adjusted for currency. Worldwide Rental Car revenue declined 1% compared to 2015 fourth quarter on a constant-currency basis, driven by a 1% increase in volume and a 2% decline in pricing. All Other Operations, which represents 8% of the total company revenue and primarily is made up of Donlen leasing business, generated a 4% increase in revenue in the recent quarter. Despite our continued improvement in driving lower consolidated unit cost, a 16% (15:26) increase in worldwide monthly rental car depreciation per vehicle more than offset the favorable efficiency in cost trends. In the U.S., revenue was flat versus same period last year, as roughly 1% increase in transaction days was mostly offset by 1% decline in rate. While year-over-year pricing declined, the quarter-to-quarter trend continued to improve, reflecting 160 basis points in sequential improvement versus the third quarter 2016's rate performance. We generated volume growth in the quarter, despite the closure of our Firefly brand early (15:59) in the year. And while the continued softness in the corporate account is disappointing, we recognize that we will not win customer preference overnight. However, the planned investments in fleet, marketing, service and continued roll out of Ultimate Choice locations, should provide the catalyst we need to drive steady improvement in demand and allow for more predictable forecasting. On the fleet side, while we continue to take action to optimize vehicle capacity, in the fourth quarter, total utilizations went to 78% from 79% a year earlier, driven by weaker than expected volumes in early November that resulted from an extended election impact, the onboarding of some of the new full-sized vehicles to rebalance the fleet mix, 15% more non-program vehicles queued up for sale compared with a year ago as we worked down the compact inventory, and an increase in days out of service due to OEM recall activities. As you know, the recall fleet, and the vehicles taken off rent, but not yet sold are still included in our capacity calculations, even though they cannot be rented. Rentable utilization was down 50 basis points versus the fourth quarter of 2015. Monthly depreciation per unit increased 19% in the quarter. As you may recall, we forecasted an approximate $30 million adjustment in the fourth quarter for the quarterly third-party rate review in November. The actual adjustment was in line with expectations. We also experienced somewhat lower hold periods on the vehicles actually sold through our retail channels, resulting in additional adjustment in the quarter. Finally, our compact mix declined approximately 2.5 points as a percent of the fleet as compared to prior year. As a result, our full year net vehicle cost of $300 per unit closed slightly higher than the high-end of our original guidance range of $290 to $300 per unit. We are working to offset the residual market weakness by improving the quality of our vehicle mix, negotiating lower purchase prices on like-for-like risk vehicles and increasing ride-hailing rentals which provide (17:52) second-used vehicles through extended whole periods. We are also increasing vehicle sales through a higher return retail and Dealer Direct channels. During the fourth quarter, we increased retail sales by 21% year-over-year and through a year-long focus on productivity and expanding sales in online channels, retail sales per store increased 20% over last year's fourth quarter. In the Dealer Direct channel, our second most profitable outlet, sales volumes were up 22% year-over-year accounting for 37% of our total risk sales. Overall, non-auction sales channels represented more than 71% of our non-program vehicle sales in the quarter, up 480 basis points compared with last year's similar period. In the U.S., as we close out 2016, we continued to experience challenges both internally with the revenue predictability and externally in the residual market. However, underlying progress continues as we rebalance fleet mix, grow on Ultimate Choice and invest in service and marketing to generate higher, more consistent revenue trajectory. As Kathy pointed out, improvement of cleanup service execution ultimately will drive performance and preference and reduce costs supporting long-term margin expansion. Turning to the International segment, total revenue declined 4% when adjusted for currency. Transaction days increased just 1%. It was a major decision to exit from certain underperforming accounts in the UK. International pricing decreased 5% year-over-year due to the faster pace of growth in our value brands as a percentage of overall business as well as competitive pricing across Europe. We are pleased to see in the fourth quarter an improvement in our long-haul inbound business after the terror attacks earlier in the year. Volume was particularly strong during the holiday period. In spite of the overall revenue decline, the fourth quarter adjusted corporate EBITDA margin of 5% was flat versus prior year, as a result of a 9% reduction in direct operating SG&A expenses per transaction day. Now, I'd like to provide an update on our balance sheet, liquidity and cash flow. We ended 2016 with non-vehicle debt $2 billion lower than 2015 and as previously mentioned expanded the weighted average life. This was achieved through the capital structure changes related to the spin-off of Hertz and the opportunistic refinancings. In 2016, we repaid and terminated $2.1 billion senior term facility and refinanced $1.5 billion of senior notes with a lower cost term loan and a lower coupon senior note. As a result of these actions, we estimate that our non-vehicle cash interest expense will be reduced by about $60 million in 2017. Lower corporate EBITDA in 2016 resulted in elevated leverage levels. As we work to improve our operating performance, we amended the financial maintenance leverage covenant in our senior revolving credit facility in February 2017 to increase the cushion relative to this covenant. Slide 17 illustrates how this ratio is calculated at year-end 2016. And current with the amendment, we also extended the maturities of four revolving fleet financing facilities to January 2019. The extensions were for $3.2 billion US VFN commitments, €230 million of European RCF commitments, and £250 million for the UK leverage lease facility and a CAD 350 million Canadian facility commitments. Our liquidity position continues to provide substantial support for our business needs. As of year-end, we had $1.9 billion of liquidity comprised of $1.1 billion of availability on the senior revolving credit facility and $816 million of unrestricted cash. Similar to our limited non-vehicle debt maturities, our 2017 fleet debt maturities after considering the 2017 amendments are manageable at $192 million in US RAC and $453 million in expected Donlen term ABS amortizations. Free cash flow for 2016 was $258 million, but due to the corporate EBIT decline, the 2016 year-end net corporate leverage ratio is 5.6 times. We remain committed to bringing leverage down to the year-end leverage target of 3.5 times or below, and have no plans to repurchase shares or pay dividend. We have modified the covenants in our senior RCF to be consistent with this intent. Before I turn the call back to Kathy, let me give you some insights into the trends we're seeing in the first quarter. We entered the year with more vehicles in the U.S. than optimal, as we opportunistically added more full sized premium cars into the fleet in December, while at the same time trying to accelerate sales of compact cars, even in a weaker residual market. The residual market typically begins strengthening in late February, and is more pronounced in March, and we intend to aggressively sell fleet to the degree the market warrants. So our fleet capacity is a timing issue until we get the mix rebalanced. An unfavorable U.S. customer mix also continued to pressure RPD, which we expect will be down in the first quarter versus prior year, and the calendar effect of Easter moving from March to April, and one less day in the current quarter after benefiting from leap year in 2016, puts additional pressure on revenue and pricing. As such, we expect first quarter U.S. revenue will be lower year-over-year. The weaker revenue and higher fleet cost in Q1 2017 results in lower adjusted corporate EBITDA versus prior year in the first quarter. Of course, we're working aggressively to reverse this trend through the initiatives launched in the second half of 2016 and planned investments that will continue in 2017. We will have an improved fleet mix by the second quarter. As Kathy mentioned, we expect to have 30 Ultimate Choice airport locations up and running by mid-year, new PL (23:24) training should support progressively better service levels, and we expect to have capacity adjustments heading into the third quarter peak. At the end of last year, we created a fleet plan that allow us to grow marginally this year, recognizing that we are still lagging the industry from a demand perspective. As Kathy stated, we're going to hold off providing financial guidance, while we work on resolving the execution issues and prioritizing investments that will ultimately drive the U.S. operations recovery. Putting in place a collaborative cross-functional management team to lead the turnaround in the U.S. with a back-to-basics focus and investment priorities and increased accountability is the right path forward for Hertz. While it's going to take some time, our employees are committed to ensuring Hertz returns to its position as a preferred brand in the industry. With that, we'll open up to questions. Operator?
Operator: The first question will come from the line of Chris Agnew with MKM Partners. Please go ahead.
Christopher Agnew - MKM Partners LLC: Thanks very much. Good morning. First question is, the large difference between your U.S. RPD, I guess, for most of 2016 and let's say industry pricing. And that gap substantially closed in the fourth quarter. Can you run us through some of the different elements that drove the elimination of that gap? I know there is different mix headwinds including fuel, did that become a tailwind rather than a headwind in the fourth quarter? Thank you.
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Good morning, Chris. Yeah, I think the gap as you noticed in the public comp has been narrowing. We have been seeing improvements in our fleet mix, as I mentioned. We're about 2.5 points less in compacts in 4Q versus 4Q 2015. That's an impact. We have obviously been investing in our own systems. We didn't really get the new module Phase I done until the end of the year, but as we've mentioned throughout the year that the knowledge base and the experience of the team has been improving. We have been doing system modifications on the latency of our response time in our systems. And obviously, we've been focused on improving the quality of the revenue and trying to drive appropriate pricing relative to the demand in the market. So, we are obviously where we need to be from a pricing performance standpoint. I think ultimately, the investments that Kathy is prioritizing, going through the drive preference, ultimately will lead to improved pricing for our company. But we're not pleased with the results. But we're pleased that we continue to make progress sequentially each quarter and we still have a lot of work to do to continue to improve that performance.
Christopher Agnew - MKM Partners LLC: Thank you. And then my follow-up, the Ultimate Choice, can you share what you observed in Austin from your trial, what the impact was on like corporate share of travel or your ability to yield in that market? Thanks.
Thomas C. Kennedy - Hertz Global Holdings, Inc.: I mean, I think, what we were testing for was customer reaction to the Ultimate Choice product. It is empowering the customer to select, have them select the car they want and to have the flexibility of the car in the aisle and have the flexibility of how they want to interact with us, either going to counter or going directly and selecting their car. It's really a preference item, it does improve utilization, we saw positive customer feedback from NPS. We saw improved utilization on the task which we expected. We obviously – I think it's going to take time to convert the share we walked on certain accounts, so that we'd have to get it more rolled out from our locations. So, one location does not make a difference. So, that's why we're aggressively expanding it through the course of this year and then aggressively start expanding in October. So, we'll have 30 by mid-year and all major airport locations by year-end. I think once we get enough presence of that product nationally and start marketing, I think our customers will start to – word-of-mouth is already starting to get around, but we'll obviously start to promote it and drive it further. So it is a preferred way I think for our customers to interact with us and it does provide operational benefits from our operating team and will ultimately drive cost savings of service delivery as well.
Kathryn V. Marinello - Hertz Global Holdings, Inc.: I'd also add that one of the side benefits we're finding out is, its' helping us as we're trying to continue to upgrade our mix and the quality of our cars. As the customers go and pick themselves, we're also finding the cars that they like the best and the cars that are remaining, we realize, maybe don't get any more of those. So I think it's also helping us upgrade our fleet with the type of cars that our customers demands and prefer.
Christopher Agnew - MKM Partners LLC: Excellent. Thank you.
Operator: The question comes from the line of Chris Woronka with Deutsche Bank. Please go ahead.
Chris J. Woronka - Deutsche Bank Securities, Inc.: Hey. Good morning, everyone. I understand you guys are still in the process of kind of upgrading the fleet, but can you make any comment maybe about the overall size that you might end with compared to 2016 in the U.S., and then also, I think 94% risk in the fourth quarter, is there any plans to meaningfully change that?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: So, I mean, as we look at the fleet, we're not giving forward guidance on capacity. We obviously want to fleet relative to what we think our expected demand is. The market grows generally GDP, our objective is the fleet is somewhat less than that. But in the near term, we're going to be accelerating the inbound of cars that our customers prefer. And if there is a near term utilization impact, we will take the utilization impact with the benefit of getting the right cars in our customers' hands. So, that's how we're looking at it near term. But on the longer term our objective is, obviously, we think the market will continue to grow GDP and our expectations of the fleet is somewhat consistent with that, particularly as we get our demand more predictable and more consistent. From a mix standpoint, I'm sorry, what's the second part of your question, Chris?
Chris J. Woronka - Deutsche Bank Securities, Inc.: Yeah. Just about the...
Thomas C. Kennedy - Hertz Global Holdings, Inc.: The risk percentage.
Chris J. Woronka - Deutsche Bank Securities, Inc.: Yes.
Thomas C. Kennedy - Hertz Global Holdings, Inc.: So, as we've talked about in prior calls, obviously, the pricing of the program units by the OEMs have been – it's been very difficult to justify a large program acquisition since 2015. The percentage increases have been pretty substantial and I think we've talked about on previous calls, you'd have to assume a double-digit percent decline in residuals to be indifferent (30:08) between taking a risk and a program car. We obviously will be opportunistic in trying to drive more program vehicles, but we also have to be objective in the economics and whether it makes sense from a tradeoff standpoint to take programs. So the program availability has been constrained, as we said on prior calls, on the model year 2017 buy and the economics were high. So we'll see how the next model year purchase cycle changes. Maybe it will change and obviously we'll work with the OEMs and to the degree we can get more program content at a somewhat more reasonable cost that the indifference (30:43) factor isn't such a large residual decline plus the indifferent (30:54), we'll obviously be opportunistic in getting more program vehicles.
Chris J. Woronka - Deutsche Bank Securities, Inc.: Great. Thanks. And just as a follow-up, maybe a comment or two about your off airport strategy this year in terms of some of the larger single commercial accounts that might be coming up?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Yeah. I think our off airport strategies continue to – I think we've made great progress in 2016. We did some more reorganization and realignment. We have a very senior experienced person who manages the off airport. We've seen improvement in volume and in rate off airport. We don't have any plan to rationalize or change our off airport network. We have obviously some important renewals coming up and I think we have great relationships. We've done great partnerships with some of those other parties and those renewals we expect to come out favorably. So we have no plans to change our off airport strategy other than continuing to improve, which we're going to do both off airport and on airport, both the product quality and service.
Chris J. Woronka - Deutsche Bank Securities, Inc.: Okay. Very good. Thanks, Tom.
Operator: The next question will come from the line of Brian Sponheimer with Gabelli. Please go ahead.
Brian C. Sponheimer - G.research LLC: Hi, good morning, and congratulations, Kathy.
Kathryn V. Marinello - Hertz Global Holdings, Inc.: Thank you.
Brian C. Sponheimer - G.research LLC: Just at 30,000 feet, when you took the job and you think about your flexibility and levers that you have, you make a lot of money at larger airports and less at some of the smaller locations. How should we think about you looking at the portfolio from an own location versus franchise point of view? And I guess, we'll start there.
Kathryn V. Marinello - Hertz Global Holdings, Inc.: Again, I'm still evaluating given it's under 60 days. So you'll have to forgive me for not having a solid opinion on it. But actually for the next two days we have our franchise operators in and on board and then I'll be spending two days with them understanding their business better. My initial reaction is, I wouldn't really change the current strategy and wouldn't go aggressive on franchising more operations nor would I move away from where we're at, at this point. So as a strategy, there is time to (33:05) But for right now, I have to meet with these guys over the next two days and get a better sense of where we're going with it.
Brian C. Sponheimer - G.research LLC: Okay. Very fair. And then just on the balance sheet. I appreciate the time that you and Tom took to kind of walk us through where you are right now. But what's your comfort level as far as leverage and would a rights offering potentially alleviate any concerns that you may have?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: We obviously feel comfortable with the balance sheet, where our liquidity is. We're obviously on elevated leverage levels, given the decline in earnings in 2016. We have an objective that we have not wavered from, which is to be at 3.5 times or less at a year-end metric level on a net corporate EBITDA – leverage to corporate EBITDA level. So we're going to continue to work towards that goal. We don't have any intention or plans or we believe need to do any other offerings from a liquidity standpoint, given our liquidity position. And despite I think what will be a very aggressive investment profile in 2017, we still believe that our liquidity is appropriate during the course of the year to support our investment needs. So there is no plans or intent or need from our vantage point to do any additional rights offerings or anything to shore up the balance sheet. But we do acknowledge that we're at a elevated leverage levels and we're going to be working to bring that down.
Brian C. Sponheimer - G.research LLC: Fair, but you have levers. Okay, thank you very much, and best of luck.
Kathryn V. Marinello - Hertz Global Holdings, Inc.: Thank you.
Operator: Next we will go to the line of Dan Levy with Barclays. Please go ahead.
Dan M. Levy - Barclays Capital, Inc.: Hi, good morning. Thank you. Kathy, in your prepared remarks, you talked to sort of going back to basics on different areas, fleet servicing, et cetera. I know it's still very early days in your tenure, but could you just give us maybe what you would view as a mark-to-market? Do you see any low-hanging fruits that stand out quite clear in terms of work to be done? Are staffing levels okay throughout the organization?
Kathryn V. Marinello - Hertz Global Holdings, Inc.: Again, it's under 60 days. So I've spent a lot of time on the areas that I think we could make a very quick impact, and that's specifically around service and fleet as well as technology. Technology probably a little longer runway on that, but also looking at our customers from a – our corporate customers as well as our other channels, focusing in on doing better segmentation and applying some of the revenue management systems, we've brought it to bear that we worked on last year and being implemented. As far as staffing levels, the way we're going to work through and grow is not through a cost-cutting strategy. My approach is basically the right process without errors is generally and always the lowest-cost process, so as versus taking a broad brush and cutting staffing and expenses by percentages, we're going to go at it by improving our process, eliminating errors, getting the right fleet, being customer backed, and that will drive out a lot of cost in and of itself. We always have to look at all the different roles and as our customers' needs change and how we go about business change, we're going to have to adapt to it. And as we add in process and new things, we're going to have to take out some things. But that's going to be a continuous process and not a one-hit wonder.
Dan M. Levy - Barclays Capital, Inc.: Yeah. Got it. And then just a quick question back in 2015, and this is a question for Tom or Kathy, you guys issued a whole set of financial targets, and actually looks like even in 2016 you ended up hitting your cost-out target of $350 million. I assume that the targets that were put out there in 2015 are no longer outstanding, but I was just wondering if you could confirm whether or not that's the case.
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Yeah. I think with any time you have a transition and a new CEO coming in onboard, there's going to be a reevaluation of the trajectory of the margin expansion and the prioritization of the investment, and the duration of times it takes to get this company go in the right direction. So I think it's safe to assume that the targets we initially established are not appropriate at this point in time, but that doesn't nonetheless (37:41) mean that as Kathy has time to work through and we and our team work through kind of our trajectory of our revenue (37:47) performance investments we're making, there is a consistency of the investments in technology and in product and service that we believe will drive the ultimate margin expansion. But as far as the targets assumed, Kathy needs time to go through and reevaluate the timing and trajectory of those and at an appropriate time, she will update the markets to what those will be.
Dan M. Levy - Barclays Capital, Inc.: Okay. Thank you very much.
Operator: The next question will come from the line of Anj Singh with Credit Suisse. Please go ahead.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC: Hi, good morning. Thanks for taking my questions. First one for Kathy, I guess, could you speak into a little bit more detail on where you are with the investments that you're talking about? I know Tom spoke to aggressive investments for next year. So would it be safe to say that in fleet service and technology, these investments are being accelerated beyond what the prior leadership had earmarked? And if so, I'd appreciate any details on perhaps where you're seeing the biggest need versus prior allocations?
Kathryn V. Marinello - Hertz Global Holdings, Inc.: In looking at how we're going to grow this company and get back to driving the preference that we've had a heritage on to our brands. It is about investing in service and customer back as well as in the training and tools that our employees need, and things like mobility and digitization. So in those areas, I would say, I probably am bringing new focus. And as I bring in new focus into the business more around investing back into the things we need to do to deliver great service including the fleet mix, there's going to be other things that probably were in the plan that we're not going to do. I'm a great believer and you have to focus on the significant few things that are going to have a big impact. And in that regard, I'm limited I think more by people resources than I am financial resources. There is so much any organization can get done at any given time. And so I think making sure that we're all aligned towards the initiatives that I've discussed is going to be really critical, and that's really going to be my job on ensuring that what we do winds up to delivering against those initiatives and get it done this year. And so that I think you can assume that there are certain things that maybe were in the plan from prior leadership that won't be in there going forward.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC: Understood. That's helpful. And then one for Tom, Tom, could you speak into more detail as to where you are in the rebalancing process of your car class reweighting and investments in higher trim levels? I think for the class weighting, you talked about being done by Q2 ahead of the Q3 peak. But I guess a little bit more detail on the higher trim levels. Is that happening concurrently with your car class rebalancing? And how long do you expect this may be a factor in your fleet costs? Is it one or two quarters before your fleet costs increases begin to converge with, say, market averages or do you expect it to weigh on fleet cost for longer than that? Thank you.
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Yeah. We started a process, as you guys also may recall on the call, that we acknowledged in the mid-year after we got some market intelligence that we were over-weight in compacts relative to our upgrade needs and customer expectations in our model year 2017 buy was reflective of that objective to rebalance. In the fourth quarter alone our compact mix was down over 2.5 points as a percentage of the fleet from the prior year. So we had made early progress through the fourth quarter and we continue to make that progress her in the first quarter as a lot of the model year 2017 deliveries are occurring in the first four months of the year and we are rotating out of the compacts. And as I indicated, we ended up fleet at the year-end a little higher than we expected because we opportunistically bought some more premium full-sized vehicles to enhance the premium quality that we want to have in certain of our customer segments. So, Anj, I would say said that our expectation is that while we're negotiating fleet cost reductions on a like-for-like basis on the risk fleet for model year 2017 versus 2016, which is a benefit in calendar 2017. We are and we have said that we'll opportunistically change the mix of compact and full size as well as on some cases marginally on trim and on premium cars. The trim aspect is probably later, maybe the model year 2018, because a lot of the model year 2017 has been acquired or committed. There is some uncommitted components to it, so we'll probably have an opportunity there. But we expect the compacts to be down, for example, in the 17% to 18% range in the second quarter versus 20% it was in 2016 as an example. So there will be some increase in fleet cost that will be experienced in the first half of the year. There might be some moderate increases on trim. And then we'll have to determine, I think the key driver here isn't necessarily investment in fleet, which I think is on a large line at $1.60 billion (42:55) marginal investment to drive preference. But it's what's going to happen for the market on residuals and then what happens with the OEM model year 2018 buy which will be the second half of the year. So from a market perspective, I think that we're monitoring pretty closely is what happens in the residuals and the overall impact to the industry, and how that can affect fleet costs, because I think one needs to be more careful of following them than the investments that we're making that we believe will have a return in and of itself, which is opportunistic investment which we think drives our financial return.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC: That's super helpful. Thanks, Tom.
Operator: Next we'll go to the line of Michael Millman with Millman Research. Please go ahead.
Michael Millman - Millman Research Associates: Thank you. So over the last couple of years, generally Hertz has been blamed for not going along with price increases. A lot of that I think sounds like you think are related to all the things you talked about regarding back to basics. But I was wondering, if beyond that there was a concern about share. Certainly we know currently that the company is losing geography and airports, and I'm not sure how important that may be, but nonetheless, can you talk about what you think about price increases relative to share and where do you stand on looking at share as some others as well?
Kathryn V. Marinello - Hertz Global Holdings, Inc.: I think if I refer back to what we've discussed, the best way to increase share and grow is to deliver the cars our customers want, when they want and where they want it, don't make them wait for it. And have them put it out there that show they care and deliver that kind of service. So as we clearly want to grow and growth generally drives share improvement. And I think going forward, the improvements we're making on our fleet, the rollout of Choice, the investments we're making in service and our employees as well as in our technology will continue to improve our growth and hopefully will continue to show some share improvement. We have seen some strengthening in our share at this point, but again there's a long row to hoe, as they say in the Midwest, there's more work to get done. And we do think we'll see steady improvement throughout the year as we do improve our service in the cars that we deliver to our customers.
Michael Millman - Millman Research Associates: Sorry, I guess, trying to be more specific. Often share is a result of pricing. So real question is how aggressive are you going to be on pricing and will you tend to go along with the industry pricing to a much greater extent than at least you're given credit for?
Kathryn V. Marinello - Hertz Global Holdings, Inc.: Well, I guess, I'm not a great believer in talking about price for a multitude of reasons. But we intend on winning share and growing because of the great employees we have that we deliver the right cars and because of our great brand. And I think as we focus on the things we control that don't have anything to do with price, we're going to achieve the kind of share growth that I think a great company and a great brand like Hertz will continue to command.
Michael Millman - Millman Research Associates: And on a different topic. What are your plans for Donlen? The leasing business, as you know much better than we do, has generally been a very good business. And as Donlen just kind of lies there and never gets discussed. Maybe you can discuss your plan?
Kathryn V. Marinello - Hertz Global Holdings, Inc.: Well, I can talk about Donlen. In fact, the gentleman who runs Donlen worked for me in my five years of running the GE fleet business, running our Australian business. And I ran, at one point, the world's largest fleet management company. So there is a special place in my heart for that business. Basically my experience in the work I did there ended up getting me on the General Motors' board as well. And the nine years of great insights and experience in the automotive industry I've got from that has just been invaluable. So I do have what I'll say right now is the U.S. operations is where I really need to get focused on. But it doesn't mean that I don't have a special place in my heart for Donlen and that business. And I think with a lot of the opportunities out there that involves ride sharing and autonomous driving, being able to manage a large fleet set of vehicles is going to be a great asset to have in this company. And I also think there is probably certain things that I'm aware of that I had developed when I was back in the fleet business around telematics and car locations that I think we could carry over as our business that would make us a good deal of difference on how we manage our cars and how we know where our cars are. So I think I would hold that thought. There will be more to come around Donlen.
Operator: And next we'll go to the line of James Albertine with Consumer Edge. Please go ahead.
Derek J. Glynn - Consumer Edge Research LLC: Yeah, hi this is Derek Glynn on for Jamie Albertine. Thanks for taking my question. Just curious what initiatives you have in mind to further improve the alternative sales channel mix? What are the opportunities there and any targets we can look to for 2017?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Yeah. The alternative certain channels, as you saw in the fourth quarter, we were up significantly on a volume sales standpoint both in the retail and dealer direct. We think our opportunity is continuing to drive more throughput through our retail channels or retail outlets we have. We can opportunistically add additional retail outlets. We don't think we're at a saturation point as far as locations, but we're looking at that as a potential opportunity as well as improving the throughput of the existing locations we have. Our dealer direct, I think we can more actively manage the dealer direct channel with more personnel and a more standardized process, how we engage with the dealers, and how we partner with them. So I think there's an opportunity as it relates to improving both the volume as well as the margin on the Dealer Direct channel. So we believe that our remarketing channel and Dealer Direct and retail do provide us some insight not only in current trends on the residual market and on our retail sales, but also give us I think somewhat of an advantage on net proceeds we receive, including ancillary sales on those products through those and particularly on the retail channel as it relates to wholesale.
Kathryn V. Marinello - Hertz Global Holdings, Inc.: I'll add in there that I've already met with a very large dealer network around what are the types of opportunities that we could work together that will benefit both our businesses, as well as I bought more cars from dealers than anybody else in the United States at one point. So, I have a fairly deep dealer experience and network of connections, and I do think this is a somewhat, we have made progress there. But I think there's a lot more goodness to be had and working more strategies with our dealers.
Derek J. Glynn - Consumer Edge Research LLC: Okay. Thank you. And then, just as a follow-up. To the extent you can, in terms of pricing trends in the fourth quarter, were there any regions, any costs (50:43) within the U.S., where pricing was particularly resilient or underperformed to your expectations?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Yeah. I mean, I think it's consistent with what one might expect. We'd experienced a milder winter. I think that has had an effect on demand to sun destinations such as Florida which was weaker and there has been more competitive pricing in Florida market for example. So I think that's an example where one would say, hey, the weather patterns can change every year, and unfortunately, this year from a demand standpoint that has had an impact on demand for sun, and there has been more pressure on pricing in that market.
Derek J. Glynn - Consumer Edge Research LLC: Okay. Thank you very much.
Operator: The next question will come from the line of John Healy with Northcoast Research. Please go ahead.
John Healy - Northcoast Research Partners LLC: Thank you. Tom, I was hoping if you could give us a little bit more color on the fleet cost potential for 2017? When I heard your comments earlier investing into a richer mix of fleet, whether it's more a larger size vehicles or SUVs or minivans, what have you, is that the trim level discussion that happened earlier. But how much of an actual increase in the fleet cost does that present itself to for 2017? And is there a way you can help us think about kind of what the right pace is for the fleet cost of the company today before we get into residual value as assumptions for 2017 or 2018 cap cost (52:13) increases?
Kathryn V. Marinello - Hertz Global Holdings, Inc.: Again, you'll have to forgive me for being here less than 60 days, but I've been pretty deeply involved with managing the fleet mix to where we need to get it to. And at this point, if you're asking us if there's a big bang out there that you should be thinking about, that's not what we're seeing right now. But I think Tom talked about the more concerns is, if the market slows for the OEMs, what will happen to fleet prices. As tens of thousands of vehicles come off of lease, what will happen to – what we're selling our cars for. So I think we're watching all of those things very closely, but I have reviewed how we go about buying and selling cars, and there's been a lot of goodness created over the last several months that would be more effective in all of those areas, and I hope my experience working with a large OEM over the last nine years will help me understand. I won't get any price breaks. That's for sure, but hopefully it'll help me understand what they're looking to do and bring to the table what we're looking to do and how they sell cars to us, to be more effective in our buying.
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Yeah. So, we have not changed our overall assumption of a 3% decline in residuals to-date for the residual decline for 2017. So, John, as Kathy mentioned, that's a larger factor. We opportunistically invest in fleet, as we said, both in the mix and premium full size. But I think the major driver is what happens with the market and how that might change particularly as we go into the seasonal peak here. In near term as I said, we are going to be aggressively selling cars as well as bring in new cars to rebalance the fleet here before the summer peak, which may have some near term implications on utilization and near term implications on shortening some hold periods and it'd have a higher fleet cost in the near term. But the overall market I think is the one we all need to monitor very closely in that 3% decline residuals. If that changes, we need to monitor that. And I think everybody knows the Manheim information was down 4 percentage points in November-December and down 3 percentage points to January, so it's going to be important to monitor what happens on that index really in February and then March and April respectively.
John Healy - Northcoast Research Partners LLC: Got you. And then one follow-up question on the technology initiative, since Dollar Thrifty closed in 2013, I want to say, you guys have been talking about a lot of different technology initiatives and different things that needed to happen. As you look at kind of maybe the lack of success you've had with technology at the company level, do you guys feel like that maybe you should be outsourcing a lot of this technology or do you expect the spend to be kind of internally driven going forward?
Kathryn V. Marinello - Hertz Global Holdings, Inc.: I'll speak to it, just what I have learned to-date. There was an outsourcing of our legacy system, so that we could focus on developing and implementing systems that will really transform our customer experience. So clearly, yes, we will continue to look at using partners. We're already using both Inforce (55:34), Salesforce and IBM. So we clearly are comfortable with outsourcing to the experts. Again, I would say that the last year has been spent on what it should be spent on, which is developing requirements. So, any successful technology project should be spending the lion's share of its time in developing the requirements and then 20% of the time doing the coding and then hopefully you're only in testing for about 10% of the time. So I think the right order of work has been done, where there's been an enormous amount of time, energy and thought into what the process is that's going to go on to these systems. We're not just going to lift and shift stuff. We're going to do the right thing as we make a fairly significant investment in our future.
Operator: And next, we'll go to the line of Hamzah Mazari with Macquarie Capital. Please go ahead.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Good morning. Thanks for taking my question. The first question is just for Tom. Tom, do you see any impact from loan to value changes given what happens to residuals or what's been happening in terms of your asset-backed debt, and any impact to the P&L as you look forward from that or has that not really happened?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Sorry. The question didn't quite come in clearly, did you ask about asset-backed securities?
Hamzah Mazari - Macquarie Capital (USA), Inc.: Yeah, yeah. So the question is given the used car market and drop in residuals that you're seeing, are you seeing any impact to loan to value changes in your asset-backed debt or vehicle debt yet?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: So, as you know, we're marking to market all the time on the asset-backed securities as far as the value of the fleet in the ABS, and then enhancing the liquidity requirements for the ABS. In a declining residual market, you are seeing a mark-to-market pretty consistently month-to-month and that's month-to-month. And then, we are obviously improving or enhancing liquidity to ensure that the net disposal equals the ultimate book value that you depreciate those cars at for ABS purposes. So we're monitoring that and that has had an impact overall from the financing perspective, but that's not inconsistent with what one would expect in this kind of market.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Great. And just a follow-up question, you talked a lot about technology initiatives around the fleet management and revenue management system with some of the new modules coming into place. I'm just curious. How much of a learning curve or lag is there before you see benefits from some of these modules? Specifically, you guys had a headquarter move two years ago. You had to rehire revenue management staff. Are they sort of ready for this transition? And then, sort of any benefits or what's the lag before you see any benefits from some of these IT initiatives, specifically around the fleet and revenue management? Thank you.
Kathryn V. Marinello - Hertz Global Holdings, Inc.: Well, we are working on the requirements around the fleet management system. So that's something that's going to be coming into play at the end of this year, early 2018. On the revenue management system and what we're doing there, it will take time. We're running a, my guess is about, three months, but we're moving slowly. We're testing different markets. I guess, what we're trying to do is, watch and learn. Not spend two years on developing new system, launching it and then finding out that it may not be doing quite what we want. So rather chopping up what we do into smaller chunks, launching it, testing it, revising it and then rolling it out. So those things, I think, you said it appropriately, are going to take time to have an impact. But generally speaking, if you do the work, the results come and the team here is doing the work.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Great. Thanks so much.
Operator: And we have a question from the line of Justine Fisher with Goldman Sachs. Please go ahead.
Justine Fisher - Goldman Sachs & Co.: Good morning. My first question is on residuals again, excuse me. I'm wondering if you can help us think about the seasonality or other factors that might affect the trajectory of your depreciation per unit per vehicle in the U.S. this year. And the reason I ask is that, if we look at the $321 from the fourth quarter and we say, all right, residuals are going to go down 3%, let's say that Hertz can offset that by selling through alternative channels and taking some of the other steps that the company has said that it might be able to take to offset the market decline in residuals. So we drag that $321 out flat for the year. That obviously has a serious implication on year-over-year EBITDA, and so can you talk to us about seasonality or other things that might allow that depreciation per unit per vehicle to come down in 1Q, 2Q, 3Q or 4Q versus the 4Q 2016 base that you set?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Yeah, happy to Justine. So I wouldn't consider $321 at the starting point from which to build off of your 2017 outlook, because in the fourth quarter, you have a catch-up, for example, the $30 million adjustment we had reduced (1:00:59) is also a catch-up, accelerated depreciation to catch up for cars you ultimately are going to sell, in the first quarter and second quarter that may have been depreciated lower. So it's not necessarily a place, a base from which to build off of. And some of the puts and takes, if you think about it, if you even started with our $301 average for the year, clearly, there was favorability. We were beating our plan in the first half of the year, and we're behind our plan in the second half of the year. So on average, not a core place to begin from which to build your assumptions off of. We have a 3% decline in residuals, which is a negative. We have an investment in both mix and premium in trim, which is a negative. We have a cap cost reduction on the car days for 2017 model year, which represents about 40% of our car day capacity in 2017 calendar year, which is about a 2% to 3% cap cost reduction on like-for-like car, that's a favorable offsetting item. And then we're going to continue to expand our retail channel sales mix, which has a differential favorable impact versus wholesale, which is a favorable offset. So I wouldn't start with $321 and build from there. You have other public comps, which is providing guidance as another triangulation factor for which one could start from and kind of see where things could go, but clearly we expect to have fleet costs up 2017, on a unit basis, versus 2016, not to the same level that we had in 2016 versus 2015, assuming a 3% decline in residuals.
Justine Fisher - Goldman Sachs & Co.: Okay. That was very helpful. Thanks. And then the second question is just on refinancing. For the ABS maturities that you guys highlighted in your presentation, I'm assuming that you'd be able to just refinance those over the normal course of business and then on the 2018 bond deal, I know that it's only a $250 million deal, but I was wondering if the company has any initial thoughts about how you might go and refinance that; if the unsecured market is going to offer you a high single-digit coupon, would you consider something like a second lien, a revolver draw, how do you guys think about your other options for that bond deal?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: So from the near-term perspective on ABS, yes, we expect as those ABS (1:03:08) amortize to issue new debt as normal course and you replace that capacity in the course of this year. And as far as longer term on the debt that's due next year, we haven't made any determinations as to what our plans are to either pay it down and/or refinance it. We will obviously be opportunistic relative to the market conditions, the cash flow business that are leveraged, and we'll take all those in consideration and we'll see how the course of year develops and we'll be opportunistic as to what's the right course to address that. But again, it is in our view a very small amount and manageable amount of debt that's due in 2018.
Justine Fisher - Goldman Sachs & Co.: Do you guys have second lien capacity to refinance?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Yeah. We do have capacity, we could refinance that, but again, I think we'll look at potentially doing a pay down of that as opposed to refinancing it; again, it's depending upon the liquidity profile that we have and the cash flow of the business, which we expect to continue to improve as we are investing in the business and the top line starts to improve, so we'll see how that goes, but I think we'll have to see how the year progresses and we'll be opportunistic is what our decision is.
Operator: And our last question comes from the line of Sean Wondrack with Deutsche Bank. Please go ahead.
Sean M. Wondrack - Deutsche Bank Securities, Inc.: Hi, there and thank you for taking my question. Just peeling away at one remark I heard a couple of times in the call. And please, clarify if I'm incorrect. Did you say 3.5 times of net leverage is the target by year-end 2017?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: What we said is, we have not wavered from our ultimate objective to be 3.5 times or less net corporate leverage level at a year-end target level, not year-end 2017, but as a year-end metric. So it's going to take time to get there. We don't anticipate to be there clearly by the end of 2017. But we are not wavering from our long-term objective to be at a year-end leverage level target of 3.5 times or less over time. That's measured at a year-end metric level.
Sean M. Wondrack - Deutsche Bank Securities, Inc.: Okay. Okay. Thank you, that's very helpful. Would you say that you'll expect leverage decline on a year-over-year basis from these levels?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: That would imply providing some forwarded guidance. And right now, we're not in a position to provide that forwarded guidance.
Sean M. Wondrack - Deutsche Bank Securities, Inc.: Okay.
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Again over time, our objective is to continue to reduce leverage. We do believe we're at elevated levels today, obviously. And our objective is over time to reduce that leverage and our credit agreements obviously call for that. So it's consistent with our credit agreements, is to continue to drive down the leverage level to get to our ultimate long-term target of being at 3.5 times or less at a year-end metric level.
Sean M. Wondrack - Deutsche Bank Securities, Inc.: Fair enough. And then, as you look at the spring season. How has the spring season been shaping up here in the U.S. in terms of maybe generically in terms of volume and pricing if you don't want to be too specific?
Thomas C. Kennedy - Hertz Global Holdings, Inc.: Well, as I said in my prepared remarks, we expect pricing to be down year-over-year in the first quarter. We do have a potentially contributing factor to that effect of the Easter holiday moving from kind of end of March to end of April, third week of April factor, that has an effect. But overall, we expect pricing to be down and profitability to be lower in the first quarter versus prior year in the first quarter. It's too soon to tell how the Easter holiday is building, because it's a very small percentage of the bookings on the books right now; for the month of April, we'll have to just monitor how that is progressing, how the market progresses as we get closer to that period of time.
Sean M. Wondrack - Deutsche Bank Securities, Inc.: Thank you for my questions.
Leslie Tolan Hunziker - Hertz Global Holdings, Inc.: All right. Well, thank you all for joining us today and have a great day.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for using the AT&T teleconference. You may now disconnect.